Operator: Greetings and welcome to the Union Pacific Second Quarter Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded, and the slides for today's presentation are available on Union Pacific's website.  At this time, it's now my pleasure to introduce your host, Mr. Lance Fritz, Chairman, President and CEO for Union Pacific. Mr. Fritz, you may begin. 
Lance Fritz : Thank you, Rob, and good morning and welcome to Union Pacific's second quarter earnings conference call. With me today in Omaha are Kenny Rocker, Executive Vice President of Marketing and Sales; Eric Gehringer, Executive Vice President of Operations; and Jennifer Hamann, our Chief Financial Officer. We're also joined by our newly elected Independent Chair of the Board of Directors, Mike McCarthy, who will take a couple of minutes to address the announcements we made this morning regarding my successor and our Board.  Mike, the floor is yours. 
Michael McCarthy : Thanks, Lance. This morning, the Board of Directors announced that Jim Vena will be appointed the next Chief Executive Officer of Union Pacific. The Board has also appointed Jim to the Board of Directors. Jim brings a strong rail operations background at Union Pacific with over 40 years of experience. This includes two successful years as our Chief Operating Officer from 2019 to 2020. After a comprehensive search process, it was clear Jim's track record of operating excellence was unparalleled and he was the right candidate for the job. Jim will start as CEO on August 14, and we look forward to welcoming him back to Union Pacific.  The Board also announced that Beth Whited will be appointed President of Union Pacific. Beth has over 35 years of experience at our company and has held leadership roles across multiple departments. Recently, she has led our strategy, sustainability and workforce resource teams with great success.  Going forward, the operations, finance, marketing and sales, supply chain and technology functions will report directly to Vena. Whited will report to Vena, and her responsibilities will include the strategy, workforce resources, sustainability, law, corporate relations and government affairs functions.  In addition to these management changes, the Board is appointing two new Board members: Doyle Simons, former President and Chief Executive Officer of Weyerhaeuser; and John Wiehoff, former Chairman, President and CEO of C.H. Robinson. Both bring to our Board a wealth of skill sets, including operational expertise from leading large industrial public companies.  As Lance indicated, as part of these changes, we are adopting a corporate governance best practice by splitting the role of company CEO and Board Chair. With my election, the Independent Chair, Director, Sheri Edison, will take over leadership of the Corporate Governance, Nominating and Sustainability Committee.  In addition, the Board has created a new committee, Safety and Service Quality, which will have responsibility to review, evaluate and monitor compliance with safety programs and provide oversight of the company's service performance. Director Jane Lute will lead this committee.  The Board is very pleased to make these announcements today, which represent a continued commitment to Board refreshment to ensure that we have the right mix of skills and experience to oversee the company. We are confident that these new appointments set Union Pacific up for long-term value creation.  Before I turn it back over to Lance, I would like to thank him for his leadership these past eight years. His accomplishments are many. And over the next few weeks, we will properly celebrate them. Most importantly, though, his leadership has set our company up for great success for the years to come.  Thank you, Lance. And I'll turn it back over to you. 
Lance Fritz : Thanks, Mike. We appreciate your leadership throughout the process. And I'm pleased to welcome back Jim to Union Pacific, and I'm confident that the company has the right leaders to advance the hard work that's underway.  Now let's turn to the business of the call and second quarter results. This morning, Union Pacific reported 2023 second quarter net income of $1.6 billion or $2.57 per share. This compares to 2022 second quarter net income of $1.8 billion or $2.93 per share. Our second quarter operating ratio of 63% was up 280 basis points versus 2022 primarily driven by lower revenue, inflationary pressures and the previously disclosed onetime ratification bonus payment.  Throughout the quarter, we provided our customers with a more consistent and reliable service product while generally meeting the demand that was available to us. Eric will discuss in more detail the progress we've made, but the bottom line is that the actions we've taken to strengthen our crew resources are improving the railroad.  We also acted during the quarter to increase the efficiency of our network by rightsizing our locomotive fleet using crews more efficiently and making sequential improvements in train length. We finished the quarter with our resources better aligned with current volumes.  As you'll hear from Kenny, while several of our markets showed growth, consumer-facing markets remained soft and drove the volume decline. However, the strength of our business development efforts enabled us to mitigate the macro impact and outperform our peers.  So let me turn it over to Kenny to provide more color on the business environment. 
Kenny Rocker: Thank you, Lance, and good morning. For the second quarter, volume was down 2% driven by weak market conditions in our premium and bulk business groups. Freight revenue declined 5% driven by lower fuel surcharges and a [2% decrease in volume. However, we generated solid core pricing gains in the quarter to help offset some of those challenges].  Let's take a closer look at each of these business groups. Starting with bulk. Revenue for the quarter was down 3% compared to last year, driven by a 2% decrease in average revenue per car due to lower fuel surcharges and a 1% decline in volume. Grain and grain products volume was up 1% due to increased demand and business wins for renewable diesel feedstocks, coupled with strong shipments of domestic grain. A soft U.S. export grain market partially offset these gains.  Fertilizer carloads decreased by 9% in the quarter due to an outage at a customer facility that reduced export potash shipments. Food and refrigerated volume was down 8% due to reduced beer imports early in the quarter, but those shipments eventually improved by June. In addition, drought conditions from the prior growing season negatively impacted both fresh and can shipments.  And lastly, coal and renewables volume was flat year-over-year. Low natural gas prices and reduced electricity demand from mild weather negatively impacted shipments, but that was offset by a favorable comparison to 2022. With our service improvements and additional resources, we are currently meeting available demand.  Moving on to industrial. Industrial revenue was flat for the quarter driven by a 1% improvement in volume, offset by a 1% decline in average revenue per car. Core pricing gains in the quarter were offset by lower fuel surcharges and a negative mix in volume. Industrial chemicals and plastics volume was up 2% year-over-year, driven by increased plastic shipments, partially offset by lower industrial chemical shipments due to challenged industrial production levels and reduced housing demand.  Metals and minerals volumes continue to deliver year-over-year growth. Volume was up 2% compared to last year primarily driven by growth in construction materials and increased frac sand shipments along with new business development wins. Forest products volume declined 13% year-over-year driven by challenging market conditions in housing and repair and remodel, coupled with lower corrugated box demand. However, energy and specialized shipments were up 2% versus last year driven by strong business development and increased demand for LPG and petroleum products.  Turning to premium. Revenue for the quarter was down 11% on a 4% decrease in volume compared to last year. Average revenue per car decreased by 8%, reflecting lower fuel surcharge revenues. Automotive volumes were positively driven by continued strength in OEM production and inventory replenishment for finished vehicles and auto parts.  Domestic intermodal wins were offset by a weak freight and parcel market driven by higher inventory and the shift in consumer behavior as people spend more towards services than goods. International shipments were down due to decreased imports on the West Coast.  So turning to Slide 7. Here is our outlook for the rest of 2023 as we see it today. Starting with our bulk commodities. There is uncertainty in our second half coal outlook as the inventories have been restocked, but extreme heat is driving up near-term demand and starting to push up natural gas prices. We expect near-term grain shipment to be challenged with tighter U.S. grain supply impacting volumes. However, with improved operations and recent rain improving new crop supply forecast, we remain optimistic about our opportunity to move incremental grain carloads in the fourth quarter.  In addition, we expect our forecast for biofuel shipments of renewable diesel and their associated feedstocks to remain strong. We see solid market demand and continue to capture new business as production expands.  Moving on to industrial. The forecast for industrial production is down in the back half of 2023. Demand for forest products will also remain below 2022 levels. And despite some good business development wins on the metal side, it has been offset by a weaker-than-expected market. However, we expect to see continued strength in construction with new business wins.  And finally, for premium. We expect challenges in the intermodal market from continued inventory destocking, inflationary pressures and ongoing shift in consumer spending from goods to services. However, on the international side, we continue to outpace U.S. West Coast import market as customers shift more business to IPI. For automotive, we expect growth to continue driven by strong OEM production and high shippable ground count.  So to wrap up, it's hard to say when the economy will begin to recover in certain sectors, but our diverse portfolio allows us to see positive momentum in many of our commodities. The team remains focused on winning new business and has a strong pipeline of opportunities with a great track record for closing deals.  With that, I'll turn it over to Eric to review our operational performance. 
Eric Gehringer : Thank you, Kenny, and good morning. Starting on Slide 9. As always, safety remains job #1 at Union Pacific, and we are committed to ensuring the safety of our employees, our customers and the communities that we serve. Freight rail is the safest way to transport goods over land, and Union Pacific is doing its part to be even safer through ongoing investments in our network, employees, technology and communities. That is evidenced by our safety performance, which continues to show improvement.  Through the first half of the year, our reportable derailment rate and personal injury rate both improved, a direct result of our enhanced training programs and strong safety culture of ownership and personal accountability.  Now let's review our key performance metrics for the quarter, starting on Slide 10. This quarter, through the team's hard work, we made improvements both year-over-year and sequentially across key metrics that drive the customer experience. Freight car velocity improved 8% to 202 miles per day compared to the second quarter 2022. This improved fluidity and resiliency was on display as we exceeded 200 daily car miles for 10 consecutive weeks during the quarter.  While the current business mix is a headwind, there remain opportunities for continued improvement. Trip plan compliance cites sizable 17 and 8-point year-over-year improvement in intermodal and manifest and auto TPC, respectively. Improved network fluidity as evidenced by faster freight car velocity, train velocity and lower terminal dwell drove those improvements.  Turning to Slide 11 to review our network efficiency metrics. With the demand picture weaker, the team is taking action to right-size resources to align with current volumes. For example, beginning in April, we took actions to remove locomotives from our active fleet, storing around 200 units through the quarter. While there is still room for progress, locomotive productivity improved 2% both sequentially and year-over-year even as our gross ton miles declined 1%.  Although greater crew availability is supporting solid service metrics, the impact of our hiring can be seen in our workforce productivity. To date, we have graduated approximately 1,200 TE&Y employees and have a strong pipeline of nearly 775 in training. These higher workforce levels, coupled with weaker volumes, resulted in a 5% decline in workforce productivity. However, with more crew resources, we were able to lower recrew rates and reduce our borrow-outs by roughly half during the quarter.  We continue to drive productivity with train length as evidenced by our sequential improvement of 2%. While down 1% year-over-year, this is good progress when you consider the headwinds soft intermodal was presented to our train length initiatives. There are many more opportunities ahead for improved efficiency of our railroad. From redeploying brake persons to improving fuel efficiency, growing train length and rightsizing our locomotive fleet, there is productivity to be captured.  Wrapping up on Slide 12. The well-being and quality of life for our employees remains a top priority, and we continuously collect feedback, collaborate and look for solutions with our workforce. The historic agreements listed on Slide 12 represent results of our work together. Let's talk through each one of them in detail.  Starting with paid sick leave. We now have ratified our tentative agreements with all 13 of our labor unions and this important quality-of-life initiative. The employee benefit is evident as they receive more paid time off to take care of themselves and their families. For the company, this definitely improves the attractiveness of our jobs but is additional labor expense that will need to be offset.  Next, our crew consent agreement with SMART-TD provides greater scheduling flexibility and the ability to redeploy break or switch persons to work either in or outside the yard. More specifically, for our employees, it provides an expedited path for brake persons to become conductors and ultimately engineers if they so desire.  For the company, it allows us to now reduce brake persons where the work does not require the third person, allowing us to partially offset short-term hiring demand. It also sets the stage to establish ground-based enhanced utility positions with fixed days off and greater certainty about their weekly assignments through scheduled shift work.  Finally, TE&Y work rest provides engineers and conductors with a more predictable work schedule, which enhances the quality of life for our employees and their families. Currently, we have a ratified agreement with our engineers that provides an 11 days on, 4 days off work schedule, and we are currently negotiating work rest with our conductors.  For the company, this enables the railroad to better manage staffing levels as we receive a more predictable, available workforce. That reduces labor and failure costs, which combined support more consistent and reliable service, enabling long-term growth. We also believe it will improve our retention rate, reducing hiring expenses and loss productivity.  Now these agreements come with a cost, which Jennifer will detail more later. As we implement them, we expect a larger training pipeline in the near term as well as elevated workforce levels in the future. When fully implemented, our current forecast is an additional 400 to 600 employees. Ultimately, the long-term benefit of these agreements is the positive impact on our employees and the service we provide for our customers. That enhanced service product will allow us to win in the marketplace.  So to close, I would like to express my appreciation to both our customers for their support and the marketing and sales team for their continuous work to capture available demand and win in the new -- win new business.  With that, I will turn it over to Jennifer to review our financial performance. 
Jennifer Hamann : Thanks, Eric, and good morning. Let me start with a look at the walk-down of our second quarter operating ratio and earnings per share on Slide 14, where we've outlined the major drivers. In the June 13 8-K, we disclosed a onetime ratification payment related to our SMART-TD brake person agreement. That $67 million bonus increased our operating ratio 110 basis points and reduced our EPS $0.09.  Falling fuel prices during the quarter and the lag on our fuel surcharge recovery programs positively impacted our operating ratio 200 basis points and added $0.04 to EPS. While improved operations generally allowed us to meet demand during the quarter, that demand was softer and the combination of an elevated training pipeline, inflation and negative mix, all impacted our core results. Below the line, we net to a $0.07 EPS reduction from lower Nebraska State tax rates in 2023, as was noted in that same June 8-K, and a large 2022 real estate sale.  Looking now at our second quarter income statement on Slide 15. Operating revenue totaled $6 billion, down 5% versus last year on a 2% year-over-year volume decline. Included in that is a $34 million reduction in accessorials related to lower intermodal volume and faster equipment turns.  Operating expense of $3.8 billion was flat resulting in second quarter operating income of $2.2 billion, which is down 12% versus last year. Other income decreased $70 million driven by the 2022 real estate sale I mentioned earlier. Interest expense increased 7%, reflecting higher debt levels. Net income of $1.6 billion declined 14% versus 2022, which when combined with share repurchases, resulted in a 12% decrease in earnings per share to $2.57.  Now looking more closely at our second quarter revenue. Slide 16 provides a breakdown of our freight revenue, which totaled $5.6 billion, down 5% versus 2022. Lower year-over-year volume reduced revenue 175 basis points. Total fuel surcharge revenue of $707 million was $269 million less versus last year. The impact of falling fuel prices as well as the lag in our surcharge programs reduced freight revenues 425 basis points.  The combination of price and mix in the quarter increased freight revenue 150 basis points. This gain reflects the strong pricing we secured while also recognizing some headwinds from certain coal and intermodal contracts where the pricing is more reflective of current market conditions. Mix in the quarter remained negative as fewer lumber shipments and more short-haul rock shipments outweighed the positive impact of lower intermodal.  Turning now to Slide 17 and a look at second quarter operating expenses, which totaled $3.8 billion. Compensation and benefits expense increased $177 million versus 2022 with nearly 40% of that amount reflecting the brake person agreement. Second quarter workforce levels increased to 4%. Although total transportation employees were up 7%, the active TE&Y workforce is only up 1%, which is a result of our robust hiring and elevated training pipeline.  Excluding the impact of the onetime bonus payment, cost per employee increased 5% in the second quarter, and we expect it to be up 3% to 4% for the full year. Both second quarter and full year cost per employee reflect the impact of that larger training pipeline as well as better crew efficiency, which are partially offsetting wage inflation. I'll provide more details on the impact of our new agreements here in just a bit.  Fuel expense in the quarter increased 29% on a 29% decrease in fuel prices. Purchased services and materials expense increased 5% driven by inflation, partially offset by decreased subsidiary drayage expense and more moderate locomotive repair expenses as we stored locomotives in the quarter. Equipment and other rents was up 8%, reflecting higher lease expense for new freight cars secured to support business volumes and lower equity income, slightly offset by lower car hire as we improve cycle times and move less volume. Other expense grew 6%, primarily related to increased environmental remediation accruals as well as persistently elevated casualty costs.  Turning to Slide 18 and our cash flows. Cash from operations in the first half of 2023 decreased to $3.9 billion from $4.2 billion in 2022. The primary driver was $445 million of payments related to labor union agreement. These payments also impacted free cash flow and our cash flow conversion rate.  Year-to-date, we returned $2.3 billion to shareholders through dividends and share repurchases. And we finished the second quarter with an adjusted debt-to-EBITDA ratio to 200 -- excuse me, to 2022 levels at 2.9x as we continue to be A-rated by our three credit agencies.  Wrapping up on Slide 19. As you've heard from the team, we're pleased that the service product is enabling us to meet available demand. Unfortunately, as you heard from Kenny, consumer-facing markets like intermodal and lumber remains soft. Additionally, the outlook for coal has weakened since the start of the year but with some near-term opportunities given the extreme heat.  Although we still expect to outpace industrial production in certain markets, weak demand for consumer goods has pushed our full year volume outlook below current industrial production estimates, which are slightly positive. Unchanged is our expectation to generate pricing dollars in excess of inflation dollars. To date, we've made great progress repricing our business to reflect the impact of higher inflation, and that momentum will continue.  As it relates to fuel prices, I should point out that the tailwind we've experienced these past 24 months is now expected to shift to a headwind both on the operating ratio and EPS front. Assuming fuel prices remain relatively stable, this will likely represent a negative second half impact of around $0.50 per share.  Eric provided some great context on our labor agreements. And although they clearly come with some upfront cost, we see opportunities as well. Starting with the sick leave agreements. Our current forecast is that they will add roughly $50 million to labor expense in the second half of 2023, which is reflected in the cost per crew numbers I quoted earlier. We view these costs as added inflationary pressures that we will reflect in our pricing.  For the brake person agreement, we've already seen the impact of that upfront payment. Our expected payback period is roughly two years as it allows us to redeploy crew personnel, save on costly borrow-out positions as well as reduce our current hiring needs. Implementation of the BLET work rest agreement will start over the next month or so with completion likely in 2024. For this year, we estimate the work rest implementation will cost upwards of $20 million.  The challenge in putting a finer point on that estimate is both timing and forecasting employee behavior. We don't yet have an agreement with SMART-TD, and we are still working through some technology and logistics before we start the rollout. And while we certainly expect better availability, better service and more flexibility with our crew boards, providing more access to time off likely adds employees and expense. The exact math depends on how employees utilize this greater flexibility as well as how we translate better predictability into increased levels of productivity and service that ultimately drive profitable growth on our railroad.  Looking at our 2023 capital allocation. Our capital plan remains $3.6 billion. We also plan to maintain our current dividend of $1.30 per quarter as reflected in our dividend announcement this morning. However, we have paused share repurchases and don't expect to be back in the market for the remainder of 2023.  While there's no change to our long-term capital allocation strategy, which is first dollar into the business, industry-leading dividend payment and excess cash to shares, we recognize our cash flows are impacted in the current environment with volumes and costs.  Wrapping up, we are well positioned to operate a better railroad in the second half of 2023 and for the long term, our strong fundamentals are unchanged and will allow us to generate significant value for our owners as team UP drives service, growth and improved profitability.  So with that, I'll turn it back to Lance. 
Lance Fritz : Thank you, Jennifer. As you've heard from the team, the first half of this year has been about laying a foundation for future success. Key to that foundation is safety and the quality of life of our employees, and I'm pleased with the progress we've been making on both those fronts.  As you heard from Eric, we continue to make the railroad safer, while improvements in our safety metrics are critical. More encouraging are the positive strides we're making in our safety culture. The team has great momentum across our safety programs, which gives me great pride as I step away.  I'm also encouraged by the progress we've made to address quality-of-life issues with our craft professionals, reaching historic labor agreements around paid sick leave, crew redeployment and scheduled work. These agreements drive employee engagement and productivity to produce a better service product for our customers.  As I wrap up time as CEO of Union Pacific, I'd like to express my deep appreciation to the Board and shareholders of UP for giving me the privilege of leading the company for the past eight years. I'm proud of how the team has positioned Union Pacific to thrive for the years ahead, and I'm pleased to say that we provided great value all along the way.  Union Pacific is truly a special place. It's full of hard-working, dedicated railroaders who embrace the daily task of Building America. It's been my greatest honor to lead this team. Their commitment to be the best for our communities, our customers, our investors and for each other is remarkable. 160-plus years of success began and continues with our exceptional employees. I can't wait to see what they accomplish next. 
Jennifer Hamann : Thank you, Lance. And on behalf of the employees of Union Pacific, let me offer our gratitude and appreciation for your leadership. We wish nothing but the best for you and your family as you embark on the next chapter.  Before we begin Q&A, I'd like to lay out a couple of guidelines for the call. In the interest of time and to accommodate everyone, please limit yourself to one question and one question only. Second, we understand that there's great interest in the leadership changes that were announced this morning, and we look forward to those discussions. However, today's call is to discuss our quarterly results. So please focus your questions on the business of the earnings call.  So with that, Rob, we are ready for your first question. 
Operator: [Operator Instructions] Our first question today will come from the line of Allison Poliniak with Wells Fargo. 
Allison Poliniak: Just want to talk through intermodal. I know there's obviously consumer weakness there. But is that -- I guess, the pace of the decline moderating for you some? And I guess, with sort of the improved service that you're starting to see in that interest back on the West Coast port, should we start to see or expect to see some of those business wins start to accelerate for you? Just any color just thinking that maybe intermodal starts to perform better for you in the face of even the consumer declines? 
Kenny Rocker: Allison, you look at it, I'll let you know, we're really staring down at consumer spending. And it's been flat last few months, maybe several months. But it's differentiated as you look at goods versus services, we're clearly seeing, and I talked about it in my opening remarks, less on the goods and more on the services.  The other thing that we're looking is just what's happening with demand, and we're looking at that in terms of some of the contract rates would better flatten out in the spot rates that have inched up a little bit. The fact that we have a really strong intermodal service product is a benefit for us. We're encouraged as a company, I'm encouraged as the commercial leader that even though the imports have been down 23% year-to-date, we're only down a couple of percentage points.  And talking to our customers, we also believe that they will be shifting a little bit more back to the West Coast port. That's going to be a gradual shift. That will be a little bit more throughout 2023 and probably into 2024. But clearly, we're positioned here for the upside. 
Operator: Our next question is from the line of Jon Chappell with Evercore ISI. 
Jon Chappell : I'm not sure this is for Jennifer or Kenny. But Jennifer, you mentioned in your comments you're making great progress in repricing business to some of these inflationary headwinds that you're facing. Can you give us an idea as to, one, kind of where you stand in repricing the book of business to a lot of these new labor deals? And kind of just in a softer macro backdrop, how these conversations are going and your confidence in your ability to fully offset the cost? 
Jennifer Hamann : Yes, Jon, thanks for that question. I'll start and then pitch it to Kenny. So just as a reminder, when you think about our book of business, call it, 25% or so is spot rates. You've got another, call it, 30%, 35% or so that is one year or less in duration types of contracts or arrangement, and the rest then are multiyear deals. So there is a cadence to which we're able to touch actively all of our business.  Kenny, do you want to maybe talk about the market? 
Kenny Rocker: Yes. Jon, the commercial team has done an excellent job articulating the need for some of the inflationary pressures even if you want to call it the labor priors that are there and really inserting our service product along with those discussions.  Now candidly, in a very pragmatic way, our customers empathize with that. They are taking the same price increases in their markets. So they understand what we need to accomplish. There's a tremendous amount of resources that were committed to on the CapEx side, which will help out with a consistent and reliable service. So we feel very good. There's full confidence and price and above inflation in making sure we cover those costs. 
Operator: Our next question is from Chris Wetherbee with Citi. 
Chris Wetherbee : Congrats, Lance on the next stage of your career here. I guess wanted to take a minute and talk a little bit about sort of resources and where you think you are. I know, Eric, you talked about pulling some cost levers that were around locomotives and other assets. But Jennifer, what should we expect with head count as we move forward? And sort of when are you appropriately staffed for what you think the volume outlook might be, not just for this quarter but maybe the next several quarters? 
Jennifer Hamann : Yes. So I'll maybe let Eric talk about how he feels about crew staffing levels. But just overall, in terms of our head count, we think as you look to the back half of the year, it's probably going to be, I'll call it, flattish or so from where we're at right now. We're continuing to hire and train and make sure that we've got a good robust pipeline so that we're able to serve our customers appropriately. But just from an absolute FTE basis, that's kind of how we see things in the back half. 
Eric Gehringer : Yes. And just picking up from there, Chris. Clearly, what you've seen in our performance is that we have reduced the amount of hiring that we've been doing now. We stay very connected with Kenny as in his outlook, both for the fourth quarter as well as 2024, and we're going to continue to adjust as we have to what that demand is.  It's the same way I view the locomotive work that was accomplished during the quarter. And the team stored 200 locomotives. And if you actually look for now and this month, we're actually above 200. We're treating it the exact same way. So the demand that's out there, find your resource base accordingly. 
Lance Fritz : We should be crystal clear as well, Jennifer and Eric, Chris, that there's still work to be done. When we look into the third and fourth quarter, Eric outlined some of it in his prepared comments, but we are not yet volume-variable with what we're seeing in the marketplace. We took a step towards that in the second quarter. We got to keep taking steps in the third and fourth. 
Operator: The next question is from the line of Justin Long with Stephens. 
Justin Long : Lance, congrats from my end as well. I wanted to ask a question about the outlook for the second half. You mentioned fuel being a headwind and in addition to that, the labor cost. Do you think EPS in the second half will be lower than the first half? And then maybe, Jennifer, you could comment on the run rate for these labor-related costs as we move into 2024. I'm just curious if we can take this $50 million to $70 million and annualize it or if that is expected to change? 
Lance Fritz : Jennifer, why don't I start? We're not going to provide some incremental or new guidance as regards earnings into the back half. But Jennifer, you did a good job of outlining what the headwinds are, and why don't we unpack that a little bit? 
Jennifer Hamann : Yes. I mean, certainly, the one headwind we did size for you is the $0.50 impact, the negative year-over-year impact we expect to see on EPS from fuel in the third and fourth quarters. In terms of moving into 2024, so if you think about that $50 million from the sick leave agreements that I mentioned, most of those agreements were really effective in the second half. We had our non-ops that started a little bit in the first half. So I think you can think about that as being something that will carry over and repeat itself in the first half of 2024.  Beyond that, in terms of the implementation of work rest, we're really reluctant to -- and really, it would be difficult for us to size that more precisely because it is going to depend on the timing of how we roll that out as well as the employee behavior that we see with that. And so that's something that we'll just keep you updated, but I want to make sure you do understand that, that will be a bit of a headwind. But as we get greater clarity of that as we go through our rollout and start that rollout and obviously, we still need to get SMART-TD done as well, we'll be in conversation about that. 
Lance Fritz : So Justin, I think as we look into the back half of this year, improving productivity, the hiring pipeline tones down a little bit, but we're still hiring. It probably looks like year-over-year about equal, I think, is what Jennifer was saying.  Not sure what's going on in the marketplace. So we got to we've got to do everything we can to capture all the business that's available to us. And then fuel is going to be a real headwind in the back half.  Offsetting that, we get a tailwind from implementing the brake person agreement. And as we implement the work rest schedule, I am confident that generates both productivity and service product improvement. The issue is timing and magnitude. 
Operator: Our next question is from the line of Brandon Oglenski with Barclays. 
Brandon Oglenski : Lance, congrats on career here. And I guess, I know you guys want to ask about the quarter, but just looking back, Lance, over your course of being at Union Pacific, what do you think went really right? And what do you think maybe could have been done better to keep track maybe with potentially more volume growth looking back?  And maybe looking forward, what do you think are the biggest challenges or opportunities for the industry, maybe not even just UNP? The technology, is it regulation, is it M&A? Would love to get your thoughts. 
Lance Fritz : Yes, Brandon, thank you for that question. And we'll try to keep this to be the only question on that. So I'll try to make the answer fulsome. In terms of what am I proud of, what did I think we got right as a team, one is I love the team that we've assembled. It's world-class. I love the work that we've done on sustainability. I love the fact that we are an inclusive workforce. You can see it in our Board. You can see it on our management team.  I like the progress that we've made on safety. We've got more to do there. And I love the fact that we transitioned from our previous transportation model and way of running the railroad to a PSR model that's a better service product for our customers.  In terms of what we needed to do better, we were not consistent and reliable through my 8.5 years of serving as the Chairman, President and COO. And that needs to be remedied. As we look into the future, that's exactly what we need to continue to do. We've got a strategy, serve, grow, win together, that's built off the foundation of consistent and reliable service.  I am confident we're oriented, organized and capable of doing that. We've got to prove it to our customers. Because Brandon, our customers tell us, as we demonstrate reliability, there's more of their order book available to us, plus there's more market participants that will start doing business with us. That's the unlock for growth. And growth is the unlock for significant value creation in the future for everybody, for all of our stakeholders. 
Operator: Our next question is from the line of Ravi Shankar with Morgan Stanley. 
Ravi Shanker : Again, from me as well, congrats, Lance, on a great career. Just on the volume guide itself, can you confirm just how much that kind of volume outlook did move? Because you did -- you're now going to be kind of below a raised benchmark. So just trying to get a sense of kind of how much that did move.  And also, is industrial production the right benchmark for your kind of volume growth in the long term just given the consumer exposure here? Or do we have to look at some combination of IP plus GDP? 
Lance Fritz : Jennifer, do you want to start that? 
Jennifer Hamann : Yes, I can start it. So you raised a good point, Ravi. I mean we do think looking backwards certainly that industrial production has been a better gauge. But you're right, we have great franchise diversity, which we've talked to and Kenny mentioned too. And with the growing intermodal portfolio, there are certainly components of that. But it's really driven by consumer spending, and a lot of that consumer spend on industrial production. So it's hard to really separate from that.  But in terms of what's changed from where we started the year, certainly, coal is something that with natural gas prices falling as it did late January, early February, that certainly took a big chunk of that demand away from us. Now you've heard us talk about the heat and you're seeing that, you're seeing maybe a little bit of inflection in natural gas prices. So we're watching that.  The other piece, though, is on that consumer side. Onboarding a new intermodal customer coming into the year, we expected that to be a big tailwind to our volumes. And just the way that, that consumer spending and consumer goods purchases has dropped, that's just had a really outsized impact. 
Kenny Rocker: All I'll say is that we're looking at consumer spending by the week. And I feel very encouraged that we have onboarded over the last couple of years a couple of transformative customers on to our domestic intermodal network. And so as we see that movement move up, we're in a great position. And so that's encouraging for us as a company. 
Operator: Our next question is from the line of Brian Ossenbeck with JPMorgan. 
Brian Ossenbeck : First, just wanted to follow up on price to the labor inflation. Do you think getting rate is enough to offset those costs? Do you need to get some productivity benefits from the work rest, the brake men and then possibly, even the utility rule? And then just for Kenny, can you just comment more about price/mix? You mentioned specifically the coal and intermodal pricing were resetting lower in the quarter. Does that continue throughout the rest of the year? You can give some parameters in terms of how to think about that plus mix in the back half. 
Lance Fritz : Kenny, why don't I start with the -- what about the agreements and getting price and productivity out of them. The short answer, Brian, is we are confident that we can continue to price above inflation. We've just seen a few agreements like paid sick leave add to the inflation in our comp and benefits. And Kenny's team is tasked now to get out there and make sure that we recoup that.  In terms of productivity, the brake person agreement is just a clear path on productivity. We can reduce 3 people to 2 people on crews where we don't need 3 people, and we can either redeploy them or lower our hiring demands. So that clearly, just in that one example -- there are other examples like in work rest, Brian, we'll be able to get productivity out of that.  Today, there's a percentage of our workforce when they're called to take a train, they are not available to us. And we don't know that before we call them. And that creates failure cost and disruption in the network. I'm going to presume, and I think the experience where work rest schedules are in place, that unpredictability dropped dramatically. When that happens, we get better the utilization of our assets and we lower failure costs from the network. So the only question for us is order of magnitude and when as we implement. 
Kenny Rocker: So yes, a couple of things here. Let's just take hold for first up. Yes. And you've heard us talk about this. We do have a couple of mechanisms that are in place that allow us and our customers to be competitive with natural gas prices. One of the things that we have seen out there is the fact that there has been a little slight uptick in terms of demand based on the extreme heat that we've seen. We've seen that also impact again in the near term natural gas prices out there. So we're seeing more demand out there.  We're working closely with Eric and his team as we speak to add more sets and add more inventory into the network. And we're looking at the 4 curves that you just see, how long that will last. So we're always looking at that, and we're looking at that by the week.  Switching to domestic intermodal on the pricing side. we like the fact that we have our customers that are competitive in the marketplace and that we're competitive against truck. Some of those mechanisms will go up, I think, tightened in a Loup market like where we are now, it might move down a little bit. But the key is to make sure that we can capture the volume against truck and make sure that we're competitive. 
Operator: Our next question is from the line of Fadi Chamoun with BMO Capital. 
Fadi Chamoun : Congratulations, Lance. Question on the opportunity for volume. Like if you think about a zero GDP environment over the next, say, 12 months, what can service improvement deliver in terms of growth? Where are maybe some of the verticals you think that you can make a difference in the service level and ultimately start to see more idiosyncratic opportunities to grow the business? 
Kenny Rocker: Yes, Fadi, thanks for the question. Let's just walk through -- if you look at our outlook slide, and I'll supplement that with a few more specifics on our biodiesel, the renewable diesel market, we've got seven different facilities on us. We're going to land another facility here by the end of the year. We're very encouraged by that. That's a key part of our growth strategy. And we mentioned that a couple of years ago, during Investor Day, very proud of our commercial team for securing that.  Construction, our rock business, for example, those are areas where Eric's team is just delivering great service, and it's showing up in terms of carloads. We're adding a few more sets there. We're seeing more carloads that are coming on because of that, and some of that is market-related. There's just more infrastructure that's out there.  If you talk about the service product, we look at auto parts coming out of Mexico. We've seen a pretty fast and upcoming grower -- growing EV producer that we're growing with on the auto parts side that we're excited about. We've secured a new automotive OEM on our line back in the spring that has brought business to us. That same OEM will be bringing on business in the first quarter. So we're pretty excited there.  And then kind of last but not least, I'll just say that overall, the team has been engaged on bringing new business in different ways. We have a new industrial park that's going to be landing on us in the Buckeye, Arizona area. So that's great. And we've got a customer that will be doing reusable plastics, so just you think about the ESG connection. So we can create our own business development with the service that I mentioned with Eric, and we're excited about it. 
Lance Fritz : And it's proven, Kenny, your BD pipeline is up, what? 
Kenny Rocker: It's up around 20% to 25%. So the team is just doing a fabulous job going out there and expanding the market better. 
Lance Fritz : And that's in a down volume market. 
Kenny Rocker: That's in a down market. And so I will say we're pumped up about it. 
Lance Fritz : That's good. 
Fadi Chamoun : And I'm surprised you didn't mention intermodal as being one of the opportunities that service gets better. Is this because the truck market competitiveness right now? You need a little bit of support there? Or is there more to it than that? 
Kenny Rocker: Okay. Well, you're going to get me riled up today. So first of all, we talked about a couple of transformative wins that we feel good about. I'll tell you, as a management team, bringing on Inland Empire, which is a new product, bringing on a new Port Houston service product that Eric has given us with 5 new lanes, bringing on Twin Cities. Absolutely, we feel good about domestic intermodal. At some point, you need demand to be there. What you're hearing me say is that we're prepared as that demand comes on. And we're adding new products, we're adding new services, we're adding new customers. We're excited. 
Lance Fritz : Kenny, at the risk of making this drag on too long, you should mention Falcon Premium too. 
Kenny Rocker: So let me back up and just say there's been a lot of debate out there, Lance, in the marketplace. And we feel very good about the service products that we have with Falcon Premium. On a broader sense, there are other Class 1s associated with that. So it's not just one Class 1. It's the other Class 1s that we're interacting with too that we feel good about.  We've got a shorter route structure. We've got a better schedule. We've got the relationship with the customers. Eric and his team are continuously improving that service product. So we're encouraged how that looks in the future. 
Operator: The next question is from the line of Amit Mehrotra with Deutsche Bank. 
Amit Mehrotra : Lance, congrats all your success. Wish you the best. I guess, Eric and Jennifer, I know borrow-outs have been pretty expensive. And I think last time we checked, you had like 250 borrow-outs in the network. Can you just give us an update on that? It feels like maybe that's an opportunity over the next six to nine months.  And just generally, in terms of nonfuel costs, it feels like the network is running a little bit heavy on nonfuel costs. I know there's obviously cost inflation and labor inflation, some idiosyncratic things. But as maybe the volume comes back and you can come much more volume-variable, is there an opportunity to kind of hold the line on the nonfuel cost structure given some of the positive things that you can do on the borrow-outs and kind of other cost items that are proving more stubborn right now? 
Eric Gehringer : Yes. Thank you for the question. Let's back up in time, as we came into the year when we think about our first quarter earnings report, we were talking about borrow-outs. In the context of while we were making great progress in our hiring, we still have pockets of the system, specifically about 7 locations, where we were utilizing borrow-outs because of the difficulty to hire.  Now in any given year, there's some level of borrow-outs used even in just dealing with seasonality, for example, the grain harvest that comes in the fall. If you look at the quarter, what we've reported is that we've taken our borrow-out count down by 50%, approximately. Now that is a process that continues. As we look for volume to continue to grow, we have those as options. But as we're looking every week, to your point, to control our cost, those are ones that we adjust literally on a weekly basis.  There may be a place as we fast-forward three months, four months, six months, where you may use them and very small numbers. But our goal is to reduce our borrow-outs as quickly as we possibly can.  As far as the nonfuel cost, it follows the same recipe that we've shared before, One, we just finished talking about it, which is how we think about our labor costs and ensuring that we're being conscious of that. Two, you go to your next expensive cost or, at least outside of fuel, is you're going to look at your locomotive fleet. The reduction that we've made in the quarter is a strong move in the right direction. The reduction we've been made in July is another strong move on top of that, and we look forward to reporting to that in future quarters. So all eyes on we want to grow the business, and we need to be volume-variable until we see more of that growth coming. 
Jennifer Hamann : Yes. And Amit, just to build on what Eric is saying there is, if you look across all of our cost categories, setting depreciation side, we know we have opportunities within all of those to be more efficient. As we continue to improve cycle times, that has a very direct flow-through in terms of our car hire expenses on the purchased services and materials side.  Eric mentioned the locomotives, but there's other opportunities we have in there to work on our cost. And even comp and benefits with some of the headwinds that we know we have, there's opportunities to be more productive and use that crew base more efficiently.  And to your point, volume can certainly be a friend when it comes to the cost structure. But I think the fact that you've seen us make some progress as volumes are going down, and you saw us build train length even as volumes came down and in particular, intermodal volume, those are the things that we're going to keep working on here -- well, always, but certainly in the back half of the year to continue to drive better efficiency and get better alignment between the resources and the cost structure and the volumes that we're moving. 
Operator: Our next question is from the line of Bascome Majors with Susquehanna. 
Bascome Majors : Lance, as you wrap up your eight years as UP's Chairman, President, and CEO, how do you expect the push and pull of the senior decision-making process between marketing operations and HR change with those roles split between 3 people and Beth elevated from just leaving the HR and sustainability efforts into that newly stand-alone President position? 
Lance Fritz : Yes, Bascome, thanks for the question. First, you got to note, Jim Vena is our CEO. He runs the company, that reports to Jim. So I don't anticipate any meaningful dislocations or push-pull created by org structure. And having said that, there's some natural creative tension in the business all the time. There's creative tension between the operating team and the commercial team. There can be creative tension between the team that is controlling versus the team that's spending.  Just -- you can name any number. The most important thing is we've got a fabulous operating executive joining us as our CEO. He's got a great track record, and he's going to be laser-focused on making sure that we're providing the best service product to our customers so that we can translate it into growth. He's going to do a very good job of making sure the team works together.  We're working well together today. I anticipate we'll be working well together a month from now. And Beth's role is going to be making sure that she's supporting all of that effort effectively through workforce resources through the work we do with communities, through the work we do in DC. So I anticipate better, not worse, as we move forward. 
Operator: The next question is from the line of Ken Hoexter with Bank of America. 
Ken Hoexter : Congrats on its team and the Board on the next steps and on naming Jim as CEO. So many moving parts with the labor agreements. Obviously, Jen ran through some of the cost side from the pay increase last year to what you're now adding on after the main contracts. Maybe -- can you take a minute, walk us through some of the benefits that you see?  And I presume these are all Union Pacific add-ons. Maybe differentiate what is UP add-on versus the industry. And then just thoughts on your outlook. I think you removed the operating ratio from your target. Is there a thought on the scale that you want to put together on costs? Or are we just leaving that off all together? 
Jennifer Hamann : Yes. So I'll start off, Ken. So when we did our 8-K in June, we took the operating ratio improvement off the table for the year, and that hasn't changed. Certainly, you heard us talk about some of the headwinds that we have. So we are not -- with the addition of the labor expenses, volumes moving away from us and then obviously, some fuel headwinds relative to OR in the back half of the year, we don't expect year-over-year improvement.  Our task, and I kind of touched on this a little bit with the question from Amit, is to get better from where we sit today. And I'm not going to forecast what our OR is going to be in the back half of the year, but we're going to work really hard to improve each and every day. And that's both in terms of being more productive with that cost structure as well as going out and selling in the marketplace and doing all we can to drive profitability on that side.  I don't know, Eric, you want to... 
Eric Gehringer : Yes. And on the agreement side, so if we start with sick days, the opportunity that Lance mentioned obviously reinforce as we see the opportunity to improve the attractiveness of our jobs. And as a result of that, that can have a positive impact on how we do our hiring.  If you go to the brake person deal, clearly, the biggest opportunity there is to reduce brake person labor in line with where the jobs are no longer needed and also allows us to partially offset some of our hiring in the short term. And of course, we get the benefit of establishing a ground-based enhanced utility position.  And as Jennifer pointed out, the payback period on that is approximately two years. And if you look right now, we're about 60% of the way through that implementation. And then certainly on the 11 and 4 scheduled work, it really boils down to improved availability, as Lance pointed out, and more efficiently managing our staff levels with more latitude on how we do that under this new agreement. 
Operator: The next question is from the line of Scott Group with Wolfe Research. 
Scott Group : Best of luck to you, Lance. Jennifer, Just wanted to just make sure I understood the answer to that last question. Are you -- so relative to like the 62% adjusted OR in Q2, are you not -- you're just not giving any color? Or are you saying it's probably going to get worse, the OR second half versus at 62%? I'm just not sure what you're trying to message there.  And then just Kenny, CN last night was just -- talked about raising their expectations for the U.S. grain -- upcoming U.S. grain harvest just with some better rain recently. Just your thoughts on how you think about the grain harvest in your territory going forward? 
Jennifer Hamann : Yes. So going back to -- you're really asking a sequential question. And again, I -- we had a 63% reported OR. If you're stripping out the brake person agreement, that was 1.1 points in the quarter. If you look at what we have done historically as a company, you tend to see some of your better margins in the third quarter, tends to go up a little bit then in the fourth quarter when you're just thinking about kind of that normal seasonality.  We are going to work to make sequential improvement. I'm not telling you that we're making sequential improvement, but that is the task that has to be ahead of us. We have to work to improve the cost structure. And we've already made some progress. I think you certainly saw that. I know it's a little bit of a messy quarter with all that was going on in it. But when you strip some of the noise out, there was -- particularly when you're comparing first quarter to second quarter, we did make gains, not year-over-year but sequentially, we did make some gains there. So I think that's the way to think about it into the back half of this year. 
Kenny Rocker: So Scott, I'd tell you, we look at the weekly crop report and, call it five, maybe six weeks ago, wasn't looking great. And since then, we've had rain in areas that we serve and participate in. So it's looking much better.  You heard in my comments that we think there is an opportunity for incremental grain in the fourth quarter. And so we're steering that down and working with Eric's team to make sure we can capture it. 
Operator: The next question is from the line of Walter Spracklin with RBC. 
Walter Spracklin : Best of luck there, Lance, on the future. Just a question here -- wrap up here on coal. I know you'd indicated that, that was an area of discrepancy from where you were looking at before. Really on the -- or the revenue per carload revenue per RTM, that's taken a notable step-down. And I know your peers talked a lot about -- you talked about a 15% decline in their rates on coal. Now a lot of that is tied to export met, which is not in your mix, but you did see a similar type of step-down in sense per RTM. Just wondering if that's something that you expect to continue for the foreseeable future. What's driving it? What could make it change up or down from this point going forward? 
Jennifer Hamann : Yes. So Walter, we did mention that in my prepared remarks that, that was a bit of a headwind. And you've heard us talk before that we do have a portion of our coal contracts that have some mechanisms that link that pricing to natural gas pricing. And with what's happened with natural gas pricing, that certainly is flowing through in terms of some of the rates. We did that similar to intermodal in terms of keeping competitiveness for those players that are dispatching into the grid, keeping them competitive. And we're continuing to ship coal. Still profitable for us, but there is some pricing differentials there.  So it really depends on how you see the rest of the year playing out in terms of how that's going to look. But if you just compare last year's nat gas prices to where we're at this year, that tells you there's going to be some ongoing pressure there. 
Lance Fritz : Yes. I think the differentiation there is sequential versus year-over-year, and year-over-year is going to continue to see some pressure. Sequential, we've seen as much pressure as we're going to see. 
Walter Spracklin : So kind of flat from this point going forward? 
Jennifer Hamann : It should be. I mean, obviously, watch natural gas prices. 
Operator: Our next question is from the line of Jason Seidl with TD Cowen. 
Jason Seidl : First off, Lance, good luck in the future, and congrats to both Jim and Beth, if they're listening in. Some quick things. I wanted to look a little bit about regulation. We've seen the FRA now is looking for a public comment period on train weights and lengths. Wanted to know if you guys think this is sort of a precursor for more regulation from them.  And two, maybe if you could talk a little bit about anything anticipated on reciprocal switching. And lastly, squeezing in here, Jennifer, when was the last time you guys didn't repurchase shares in the quarter? 
Lance Fritz : Jennifer, you want to go first, then I'll take the others? 
Jennifer Hamann : Yes. So I would go back to second and third quarter of 2020 when the pandemic hit and there was such a drop in volumes. We paused our share repurchases then for at least a couple -- I'm pretty sure for the full second quarter, part of the third quarter, I think, is when we restarted that. So we manage the share repurchase piece with our excess cash. And that's always been the flexible part of our shareholder return, and that's how we're managing it today. 
Lance Fritz : Yes. And Jennifer, we've been crystal clear that we turbocharged our excess cash by using the capacity of our balance sheet. And that capacity now has been largely used, and it's all about growing cash from operations and operating income at this point. 
Jennifer Hamann : Exactly, Lance. And obviously, with some of the earnings pressures we're facing this year, that's not giving us that incremental capacity we've seen. 
Lance Fritz : So Jason, talking about what's going on in Congress and at the STB in Congress, the Rail Safety Act, we've been crystal clear about things in there that we think are appropriate. Like there should be additional regulation and laws regarding the preparedness of emergency responders, the information that's at their disposal. We believe the same is true on tank car standards. There's an opportunity to pull forward tank car standard improvements.  And we also think there's room for regulation to step into wayside detection. We've done a ton of things in wayside detection voluntarily. It is not regulated. And if it were to be regulated appropriately, that makes some sense.  There's some things in the Rail Safety Act that don't make sense like coupling train size with safety. On our railroad, mainline and siding derailments are down 25% plus, while train size is up 20% over the last, call it, four years. There's just no correlation in our experience between safety and train size.  And likewise, there's no correlation anywhere in the world between train crew size and safety. That should be left to collective bargaining and what technology enables. So as we look at Congress, that's what we're thinking about. As we look at the STB, as we've said before, we help them understand how the railroad industry works, how our reinvestment works. And when it comes to reciprocal switch or forced open access, we help them understand that, that would have a real negative impact on investment. It would not improve service product, and they should be very, very careful as they think about whether or not that should be implemented and how to implement it. 
Operator: Our next question is from the line of Tom Wadewitz with UBS. 
Tom Wadewitz : Lance, wanted to wish you well in the next thing you do, retirement, whatever it is. Let's see. I guess one just clarification. I think, Kenny, you commented earlier on intermodal yields are -- 3Q, are we expecting more sequential pressure on revenue per car in intermodal in 3Q? So that -- just a clarification.  And then the broader question really -- when we look at the industry, I think historically, there was opportunity from productivity and price to improve margins. Certainly, UP did that in a massive way over, I don't know, 15 years, right? But it just seems like there's this inflation in the cost base and pricing's good, but not enough. So do you think it's fair to look forward and say, look, margin improvement is really about volume and without volume, you're -- maybe you have a tough time to improve the margin? And I think that seemed to be true maybe for industry, not just for UP, but I don't know if you have thoughts on that. And then maybe the clarification on intermodal. 
Lance Fritz : Yes, Tom, let me start with your essential question about the three legs of the stool. We've forever talked about, we drive margin improvement through productivity, price and the benefit of volume. And to your point, we've leaned heavily on productivity and price historically. And we said we're in a transition where we're going to have to lean more heavily on volume.  But that's not going to be the only leg of that three-legged stool, Tom, when you -- it's still true. While inflation got on us quick, the way our contracts and our business relationships are set, it takes us a while to recoup that inflation through price. Kenny's team has been crystal clear that they own the requirement to do that, and they're following through. But it's going to take a little while.  And on productivity, like we just demonstrated this quarter, we created a new agreement, makes all the sense in the world. It came with a 70 -- roughly $70 million price tag immediately. Implementing it is going to get the payback and will be paid back in about two years. So Tom, the opportunity for productivity, price and volume to still drive margin improvement exists. We're in kind of a unique environment right now regarding timing. And we are, for sure, going to have to rely on volume more heavily going forward. 
Kenny Rocker: Yes. Just a short answer. No, we're not expecting increased pricing pressures on that intermodal side of the house. 
Tom Wadewitz : Okay. So you think stable revenue per car 3Q versus 2? 
Kenny Rocker: That's how you should be thinking about it. 
Operator: Our next question is from the line of Ben Nolan with Stifel. 
Ben Nolan : So Kenny, you mentioned the Falcon Express a little bit ago. I'm curious if you have any early takes. Any -- how are things thus far developing the way that they thought you would or you thought they would? Or any early indications that -- of how you're expecting it to play out over the back half of the year? 
Kenny Rocker: I think you're asking, have we seen any success stories? And yes, we've had some early wins. Of course, the focus is over the road. I mean that's the size of the prize. Rail is a very small part of that traffic that's moving out of Mexico or into Mexico. As I also said, as we continue to improve the speed and consistency there, we expect to make more inroads. 
Ben Nolan : Okay. And so far, as expected? 
Kenny Rocker: Yes. I mean we're getting more reception from customers that are open to opening their books and giving us a shot, for sure. 
Operator: Our next question is from the line of David Vernon with Bernstein. 
David Vernon : Lance, congratulations and good luck. So Eric, with the 400 to 600 heads that we need to add in for the part time off or paid time-off agreements, how many of those people are going to be on property by the end of this year? And then how should we think about reconciling that with the -- a flat head count number from 2Q? Are we making reductions in operations? Or is it coming out of other areas? 
Jennifer Hamann : Yes. So I'll actually jump in on that one. So it is -- when you think about the 400 to 600 incremental that we talked about from the labor agreements, that's incremental from what we would have otherwise been staffing at a given volume level. So that is completely consistent with and taken into account with when we also say, as we look at head count levels now to the end of the year, we think not a whole lot of change. So... 
Lance Fritz : So Jennifer, it's for all agreements? 
Jennifer Hamann : And it's for all agreements, which, again, we're going to be implementing over not just the back half of this year but well into 2024. 
Eric Gehringer : I think we also pointed out in our commentary that, that number is going to be highly impacted by the behavior that comes from these agreements. And we're not ready today to say exactly what that will look like. We'll continue to look to it, though. 
Jennifer Hamann : Absolutely. 
Lance Fritz : But he had the back half of his question there, which was about offsets and... 
Eric Gehringer : Yes. The offsets really haven't changed from the ones that I answered a few moments ago. They really focused on the availability on the 11 and 4 and they focus on the brake person about actually removing brake persons off of positions that are no longer needed. 
David Vernon : So if you were to say like how much of the 400 to 600 is in this year versus coming into next year, is it a quarter, is it half? Is there a way to directionally sort of indicate how much is going to be in this year? 
Jennifer Hamann : Again, it does depend on what the behavior is. But there will be some amount, maybe 0.25 to 0.50. That's probably not a bad estimate. Sick leave, obviously, that part we have fully done now. So any heads that we think that we need to add for that, that's done.  Obviously, we get offsets this year too with the brake person agreement. So there's a bit of a netting effect. And then it really is pace and timing of the BLET work rest, getting SMART-TD. And of course, we will -- because it's really the training piece of it, right? So we're going to need to -- for BLET, we need to put more engineers in the training pipeline. And with that, you need to continue to hire some conductors. So there will be some portion, 50% might be at the max side, I would say, but probably somewhere in there is a safe bet. 
Lance Fritz : And Jennifer, I think you had said this, but your total guidance sequentially for the back half labor being flattish includes all that. 
Jennifer Hamann : Yes, it absolutely includes all of that. 
Operator: Our final question is from the line of Jordan Alliger with Goldman Sachs. 
Jordan Alliger : More of an operational question. Curious, trip plan compliance, where do you think that needs to go both at the manifest intermodal level, but specifically on intermodal. Is the way to think about intermodal conversion accelerating tied to a certain level of trip plan compliance for that? And if so, where do customers really take note and you start to see an acceleration of market share gains? 
Eric Gehringer : Yes. Thank you for the question, Jordan. So when you -- we've been very consistent. And when you think about the intermodal TPC, you're talking about a number that starts with an 8. And when you're thinking about manifest and autos, it starts with the 7. Now that's highly informed and continues to be evolving. We went through a very large engagement with our customer base through Kenny's team towards the back end of last year that is informed this year and how we think about that, more specifically to segments within those customers.  Now that work continues because -- and as we've reinforced before, we know that our customers are sensitive, in fact, very sensitive to our service. That's why we're encouraged by the progress we made. And in no way are we saying that our service is where it needs to be now. It was a great step in the right direction. We've got more work to do. 
Lance Fritz : Thank you, Jordan, and thank you all for your questions, and thank you for joining us on the call today. We appreciate your interest and your ownership in Union Pacific, and I hope you have a great rest of your day. Take care. 
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. You may now disconnect your lines at this time. Thank you.